Operator: Welcome to Volkswagen AG interim report live audio webcast and conference call. For your information, today's conference is being recorded. At this time, I would like to turn the conference over to Oliver Larkin of Investor Relations for Volkswagen AG. Please go ahead.
Oliver Larkin: Thank you very much. Ladies and gentlemen, welcome to Volkswagen's conference call on the results for the period January to September 2015, based on the interim report we published this morning. I'm delighted that for today's conference call I am joined by Matthias Mueller, Chairman of the Board of Management, Volkswagen AG. In addition, we have the member of the Board of Management Volkswagen AG responsible for finance and controlling, Frank Witter; as well as Dr. Axel Kalthoff, Director of Group Sales Management, Volkswagen AG. Our format today will be slightly different from the usual call. Matthias will kick off with a review of the current situation, with reference to the diesel emission issues and outline the top priorities of the Board of Management. We will then take a short Q&A on Matthias's speech, before switching over to Frank Witter and Axel Kalthoff to take you through our strong underlying operating performance. As usual, you can follow today's webcast via our investor relations website, where you will find also the charts available for you to download. Finally, we will, as usual, ensure there is enough time later for some questions from journalists. Let me now hand you over to Matthias Mueller.
Matthias Mueller: Thank you, Oliver. Good afternoon, ladies and gentlemen. Thank you, all, for taking part in today's call. A special thank you goes to those who dialed in from our international markets; especially to everyone from the U.S., who had to get up pretty early today. I know that the CEO does not usually participate in quarterly earnings calls. In fact, this particular call pose real challenges, since I will be travelling to China today, with the delegation led by Angela Merkel; a flight I definitely should not miss. That's why I'll have to leave before the end of this call. But I felt it imperative to share my view on the situation and the key priorities we've set ourselves. You, as shareholders of Volkswagen, have had to endure considerable pain, for which we're deeply sorry. We need to win back your trust, as well as the trust of customers; dealers; policymakers; and the general public. We know that we will take time and real actions. So, let me get right into it. I have been CEO of this great company for some four weeks now and my task is clear, we must act decisively to whether this crisis, beginning with doing right by our customers. We're also leaving no stone unturned to find out what exactly happened and to ensure that something like this never happens again. This is a fundamental element of risk mitigation to protect the enterprise and you, our investors. My job is to make the Volkswagen Group, with its innovative power, its hallmark brands and, above all, its competent and motivated team, even stronger than before. Let me briefly review what happened. Up to 11 million of our diesel engine vehicles have software installed that was designed to optimize NOx emissions during dynamometer runs. Let me be clear, these actions were apparent, far removed from all the values Volkswagen stands for. But the reality is it happened and we have to accept responsibility. As you can see, most of the affected cars were, clearly, distributed in Europe and North America. In contrast, only about 2,000 diesel vehicles are affected in China; but still, this means 2,000 disappointed customers. So, what we're doing to straighten things out? Today, I am announcing my five immediate priorities designed to put Volkswagen back where it belongs, as one of the world's best automotive manufacturers. In doing so, we're adhering to fundamental principles. We will act resolutely on what we can control. But we will not shoot from hip, no matter how badly we want to find answers. We will only take decisions and offer solutions that live up to the highest quality standards. So care is even more important that speed. Our and my, priority number one is helping our customers. Our customers are the heart of everything our 600,000 employees worldwide do. It is most important to provide effective technical solutions to those customers whose vehicles have been affected. We're working day and night in order to achieve that. Our second priority is uncovering what happened. We need to find out the truth and to learn from it. Let me assure you, we're being extremely thorough in our analysis. We will be ruthless in punishing those involved. And we will be comprehensive in learning from it, so that something like this never happens again. Our third priority is to implement our new structure. Many of us have sensed that a company of this size, of this global scale and this complexity, cannot longer be steered according to yesterday's principles and structures, however successful these used to be. Thus, we have set in motion a dedicated plan to decentralize our Group structure and management model. Priority number four is to change our mindset. In my experience, values must be internalized and truly lived from within. That is why Volkswagen must embrace a culture that really promotes openness and cooperation, empowerment and local decision-making. Our priority number five is to define a new destination for the Group. Strategy 2018 has delivered impressive results and we can be proud of those. However, the world is changing and so must we. We must strive to shape the future of the automotive industry. To this end, we're initiating a review process which will ultimately lead to a new strategy heading for 2025. Let me now take you through each priority in more detail. As I said, our customers are the heart of what we do. And we're absolutely focused on solutions for the affected vehicles. To do so, we're initiating a four-stage process. First, we have identified and set up communication tools for the owners of those vehicles involved. Then, we're working around the clock to deliver technical solutions for those vehicles. We're also cooperating with all relevant authorities in order to define and agree on implementation plans across affected markets. Finally, we will conduct recall-and-service campaigns for the affected vehicles, as quickly as possible. We have already made important progress. Our engineering teams are proceeding on the multitude of technical solutions required which has given us a basis for concrete planning with the relevant authorities. As a result, the Federal Motor Transport Authority, called KBA, in Germany has already agreed a detailed recall plan, starting in January 2016. This acts as a template for other countries in Europe. We also continue to work intensely with the relevant U.S. authorities to agree on action plans in that important market. Our Supervisory Board and Board of Management are working hand in hand to uncover what happened. The Supervisory Board has set up a committee, led by Dr. Wolfgang Porsche. It is supported by the international law firm, Jones Day, for an independent investigation of the matter. In addition, we have substantially strengthened our internal audit group by mandating Deloitte. This is only the beginning. Now is the time for the experts to analyze what happened and how it could have happened. We will then hold those responsible to account, you can be absolutely sure about that. This will require patience. But it is extremely important that we allow the experts and authorities to be diligent in their work. As soon as we can, we will report back to you on these findings. Moving forward, we will be creating a post on our Board of Management with responsibility for integrity and legal affairs. We're pleased that Dr. Christine Hohmann-Dennhardt is taking on this important task. Christine is a former judge at the German Federal Constitutional Court and justice minister of the state of Hesse. Christine's expertise and impeccable reputation will strengthen our management team, starting next January. It's not just Volkswagen, but also the automotive world, that has become more complex. New technologies and fields of business, new competitors from outside our industry, ever stricter requirements from policymakers and increasingly differentiated customer desires and wishes, these challenges need a new Group structure. We have already taken first steps with the truck and bus holdings for commercial vehicles, led by Andreas Renschler; and by appointing an own separate CEO for the Volkswagen brand in the person of Herbert Diess. Moreover, the Supervisory Board confirmed the cornerstones of a new Group structure four weeks ago. I am convinced that this new structure is the right foundation for a different, more modern and more transparent Volkswagen. The basic principle can be summed up like this, in future, our Group will become more decentralized. Brands and regions will become significantly more independent. As far as products themselves are concerned, I have no intention of intervening in details of product design. That's the job of the experts in our brands. Our job on the Board is to deal with issues, such as across-brand strategy to leverage synergies and to make sure that great resources of our network are used effectively. This means, for instance, that we're taking a close look at today's portfolio of over 300 models. Let me be very clear, we will re-examine the value contribution of each and every model. We also need to become leaner and take decisions faster. We have already committed to that and we're now putting it into practice. For me, these and other changes, are about placing responsibility on more shoulders, such fostering a more entrepreneurial spirit at Volkswagen. In doing so, we also need to change our mindset. Our constant drive for perfection, the dedication of our employees, our sense of social responsibility, all of that defines Volkswagen. And I want to preserve it. But I believe there is, nevertheless, a great need for change in how we communicate with each other; in how we collaborate within the Group; in our understanding of leadership; in how we deal with problems and mistakes constructively. And we must and we will, address all these issues. Of course, this isn't something you can impose top down. This has to be organic and grow over time. And we will back this change process in terms of organization, too. But, as I told my management team quite frankly, we simply need to get on with it. Because things will only change if we, as leaders, bring a new spirit of openness and cooperation to life. I'm sure it's worth the effort, since this will make our company more successful, more fun to work for and definitely stronger. One comment I've heard a lot recently is the first thing Mueller is going to do is abandon Strategy 2018. But we won't be doing that. Eight years ago, we sent a strong signal with Strategy 2018 to the automobile world, but, above all, to our team, you can count on Volkswagen, we're setting our sights high. All Group brands followed suit with their own strategies. Like Volkswagen, for instance, with [indiscernible], Audi with its Strategy 2020; while Porsche with Strategy 2018. This joined mode unleashed great power and motivation and, as a team, it meant we were able to achieve a great deal. However, the outside world and, to some extent, also our own community, did not really understand that Strategy 2018 is about much more than unit sales, and lots seemed to take a backseat to higher, faster, larger, namely, profitability. Of course, in this industry, size is important. And we will continue to do all we can to win customers and sell our great products. But let me be very clear, the point is not whether Volkswagen sells 100,000 units more or less than a major competitor. What we, what I, aim for is qualitative growth. That is why the cornerstones of Strategy 2018 remain valid, our employees and customers satisfaction, product quality and sustainability and, of course, profitability. In fact, these priorities are more important than ever. But we need to realign our strategic orientation in the direction of 2025, adding substantial new elements. The work done in the Future Tracks initiative is a sound foundation for that since it has opened up our Group to new trends and technologies, as well as shifting our mindset to more efficiency. We're now initiating a review process and will present you our next strategic plan, Strategy 2025, in the course of the coming year. This is something that I want to develop, together with my team. But one thing is already clear, we will offer more electric vehicles. We will become faster. And we will continue to strive for our hallmark of building the best cars. In closing, let me please emphasize, Volkswagen has a strong foundation and Volkswagen will emerge from this crisis even stronger. These difficult times bring many challenges, but also opportunities and, in particular, the chance to systematically reform our Group. You might ask yourself why I am so confident, given that has happened? It's very simple. I know our 600,000 employees are committed to changing Volkswagen for the better. That is what inspires me and that is what drives me. The company has tremendous assets, fantastic brands, fantastic people and, most of all, loyal customers. And we're incredibly thankful for their continued support. And, of course, that also includes you, our investors. In future, you will see more examples of our innovation and potential, like the Porsche Mission E or the Audi E Quattro concept we presented at the Frankfurt Motor Show. This courage from visionary force is what you rightly expect from us and it's what we will deliver. We're facing an unprecedented challenge which we're determined to meet with total commitment and effort. Thank you for your time.
Oliver Larkin: Matthias, thank you very much. And now, operator, if you could start the first Q&A process, please?
Operator: [Operator Instructions]. We will take the first question from Horst Schneider from HSBC. Please go ahead.
Horst Schneider: I would have 10 questions, but I'll try to constrain to two. First of all, regarding your priorities and the reorganization and grouping of the brands, don't you think it would be better to group the brands according to the target customer, not according to the technique that the cars use? What I mean, for example, is what I still don't understand is why, for example, the Volkswagen brands, Skoda, SEAT, stand selling next to each other and they basically target the same customer. And I have got the impression that they cannibalize each other more than ever before; so, for example, since Skoda is becoming much more premium than it ever was. Don't you think you need to reposition the brands in the long run in order to have a better mass-market business with a much higher profit margin? So, that's question number one. And then, question number two is regarding the ability to restructure. When I get you right, the operating impact from the emission scandal on your sales and pricing seems to be fairly low, also looking into the fourth quarter. If that is the case, don't you think that harms the ability to restructure the Group? And you have said already that Volkswagen needs no revolution. So I want to get a better understanding what you mean by saying Volkswagen has to become more lean and more efficient in the future. Thank you.
Oliver Larkin: There are two questions. The first one was really looking at the association between Volkswagen, SEAT and Skoda and you were suggesting where their customer focus was lying. And for the second question, you want a little bit more information on the restructuring and our ability and the operating impact to become more lean and to be more efficient?
Matthias Mueller: The first question is a very important one. You are right, we had a long discussion whether we put Volkswagen, Skoda and SEAT into one group. But, at the end of the day, we came to the solution that it would be better for the first step to have it separated. But nevertheless, we will have technical control via our spoken in German, this means a technical solution. And to give you a clear answer, of course, we will strengthen our strategic work in the Group. That means that we will also have a strong discussion with Thomas Sedran to get more clearness about the positioning of our brands. And we will start, of course, with the positioning of SEAT, Skoda and Volkswagen. And the second part of your question, it's a good question, whether we will have evolution or revolution? It's up to you to appreciate that. At the end of the day, it will be a strong reorganization and big reorganization. But that will not be overnight. We will have enough time for our discussion process during the next weeks. And at the end of that year, we will have a clear picture of the new structure and then we can start to change our organization. And along that, we will have the discussion about Strategy 2025.
Horst Schneider: But do you think then that the dividend payout ratio has to be changed as well? Since, in a way, my understanding was always if dividend goes up also the wage demands go up from -- by employees. I think that is a target conflict in a way or not?
Oliver Larkin: I think we'll hold that question for later when Mr. Witter comes on the call, because we know that Mr. Mueller has a short time today.
Operator: We will take the next question from Jose Asumendi of JPMorgan.
Jose Asumendi: A couple of questions. First one, Mr. Mueller, could you [Technical Difficulty] across the Group? And struggling a little bit as well, reducing the cost base within the Group and at the same time giving more responsibility, decentralizing responsibility into the brand. How are you going to keep the balance between cutting the cost base and at the same time giving more responsibility to the brands? The second element is just a clarification. The at least 6% EBIT margin target for the Volkswagen brand is still in place for 2018? Thank you very much.
Oliver Larkin: Okay, Jose, I think, again, we've got to split the questions here. Your first question was looking at the -- some examples of the simplification process in R&D and CapEx. But, again, I think we'll take that second question on the Volkswagen brand into the second part of today's discussion. Matthias, perhaps you could just address the first question there.
Matthias Mueller: To the first question, there are a lot of solutions to be stronger in the future. For example, we have, up to now, a long time decision-making process in products and in other decisions, to control the Group. So, we will have less organizations. At the end of the day, we will have less Board members. And with the groups we have, for example, with the Audi Group, with Lamborghini, with [indiscernible] Design and Ducati and in future also Porsche with Bentley and Ducati, we will have more decentralization of responsibility.
Operator: The next question comes from Tim Rokossa from Deutsche Bank.
Tim Rokossa: There will be two, please. The first one is really on the impact of the diesel guide issue on your operating business. There have been various articles around this, but can you just confirm that your order intake which we could read in the press, for example, for VW brand this morning, is actually up in October? And do you see any impact on the residual value end so far? And then secondly, more strategically, how you deal with the customers and the problems that these guys are facing. I think you've done an excellent job in acting very fast and admitting responsibility on the corporate level. The problem is just the end consumer really communicates via you with the point of sale. How do you think you can pass this issue on and reassure customers that they are actually in a safe place to deal with you? Would you even consider to take more drastic steps, like, for example, buying back the affected vehicles? Or do we really think that this fixing the issue in maybe one year or 1.5 years' time is really something that will go down very well with the end consumer? Thank you.
Oliver Larkin: Okay, Tim, we're going to hold those questions because Dr. Kalthoff is our expert there and he'll touch on those in the second part of the call. So, we'll just move onto the fourth caller please, operator.
Operator: We will take the next question from Stephen Reitman from Societe Generale.
Stephen Reitman: I think, first of all, an observation. I think in terms of the communication that's coming through, I think there is a bit of a conflict in the sense that up until now the communication has been that this is basically the actions of some rogue engineers. When, at the same time, you're saying you're still investigating things directly and no stone will be left unturned. But my question really is still about when do you feel you'll be in a position to quantify the cost of the remedial actions; in particular, on some of the generation one cars, the EA189 cars, with generation one engines? Thank you.
Oliver Larkin: Stephen, the line was pretty bad, so I'm going to repeat the call. I know you guys don't particularly like that. But your question really was asking Matthias when will we be able to bring some clarity on the remedial costs; and when do we think, for the generation one engines, we'll be able to talk about the costs and the timeline?
Matthias Mueller: First of all, we have estimated about €6.7 billion for the recall we're facing in 2016. We're not able to estimate any other costs which are coming from America or something else in terms of penalties. Yes.
Oliver Larkin: Okay. Thank you. We've just got time for one more question. Operator, if we can move on to the next question, please.
Operator: We will take our next question from Stuart Pearson from Exane BNP.
Stuart Pearson: Just a couple of quick questions. Just a follow up, firstly, on the €6.7 billion, just to clarify. That talks about field actions, does that include any potential customer compensation? Apologies if you answered that, but the line quality is a bit variable. And then secondly, just on the balance sheet, have you considered and now ruled out, any preemptive measures to really -- although the balance sheet, of course, is already very strong, but to further strengthen that for anything that might, in terms of more extreme penalties, come your way in terms of either rights issue or asset disposals of any of the many brands that you have? Should we assume that that's now been ruled out from your point of view? Thank you.
Oliver Larkin: Stuart, you wanted to answer whether the customer compensation was included in the provision and whether there was any other measures on the balance sheet. I think Mr. Mueller is here, but I think Mr. Witter is also here and perhaps between you, if you'd like to take that answer.
Frank Witter: Yes, it's Frank Witter. We focused, in the first set of provisions, predominantly on all activities relating to fixing the cars; and also, covering potential implications for the residual values. These were the main drivers. So, as Matthias already outlined, no penalties or fines have been included, as well as any compensation to customers.
Presentation:
Oliver Larkin: Okay, thank you. And I know Matthias has to leave now, so, thank you, Matthias, for joining the call today. And we will continue with today's conference call, focusing on our underlying business. So, Frank, it's over to you.
Frank Witter: Yes, thank you, Oliver. And a warm welcome to all participants of this call, my very first call as the new Chief Financial Officer of the Volkswagen Group. I personally recall meeting many of you in my former roles as Chief Financial Officer, Chief Executive of our Volkswagen Group of America and as Chairman of the Board of Management of Volkswagen Financial Services AG. As mentioned already by Matthias, issues regarding diesel emissions have significantly impacted our Group financial performance in third quarter. We have built a significant provision of €6.7 billion to cover the necessary service measures and other efforts, in order to win back the trust of our customers. And I just would like to mention that, as of today, it is still far too early to calculate the cost of any legal measures, may it be penalties and fines, flowing from this issue, as the conditions for the finding of provisions, under IFRS rules, have not been met, given the wide range of possible outcomes. While the provision has resulted in a loss for the third quarter, our good underlying performance allows to remain firmly in positive territory for the full nine months. Our sales performance, year to date, has continued to reflect, on the one hand, on an improvement in Western Europe; and, on the other hand, the difficult situations in many emerging markets. While vehicle sales declined by 2.7% in the first nine months, sales revenue grew strongly, supported by positive exchange rate and mix effects. Operating profit before special items increased by 8.3% for the period January to September. The operating margin increased to 6.4%, compared to 6.3% at the half-year stage. We're showing the provision we have made to cover the necessary actions from the diesel issue, plus restructuring measures at MAN that we announced with our last earnings release separately to aid comparability of underlying earnings. In summary, the year-to-date operating profit fell almost two-thirds to €3.3 billion. Our sales in China have only limited impact on the operating results through imports and parts sales. The majority of sales was in the market. And the associated earnings are included through the at-equity accounting, within our financial result. The slowdown in the Chinese market, as well as divergent growth between different market segments, has continued to leave its mark in our results. Despite this, the at-equity result came in very slightly above the record nine-month figure in 2014, including a positive influence from the euro/renminbi exchange rate movement versus last year. The valuation of derivatives, as was also discussed in detail on the last earnings call, drove the overall financial result lower, despite a positive impact from the sale of our stake in Suzuki. Consequently and, of course, reflecting the special items detailed, profit before tax fell to €5.1 billion. Net cash flow, driven mainly by the strength of the underlying business, has continued to be strong. The balance of dividends from China were received in the third quarter, in addition to the proceeds from the sale of the Suzuki stake. With net liquidity in the automotive division ending the quarter at €28 billion, we're more than capable of managing our -- any Group short-term liquidity challenges from the spike in interest rate spreads. To sum up, the financial burden from the diesel issue is enormous, but manageable. Our underlying earnings demonstrate that we have a solid platform to work through this crisis. And as we, step by step, win back the trust lost, we will emerge stronger and leaner than ever before. Further details on the financial results will follow in a few moments, after Axel has taken you through the details of our sales performance.
Axel Kalthoff: Thank you, Frank. Ladies and gentlemen, I would also like to welcome you to our conference call. Let me now comment on the development of the first nine months of the year. The growth of the global car market has slowed down further in recent month, resulting in a growth rate of 2.4% in the period from January to September. For the first time in many years, the BRIC countries are not driving the world car market growth. Global car markets continue to be affected by a challenging macroeconomic environment. The situation in Brazil and Russia remains burdened with an ongoing recession. In China, the slower-than-expected economic development, as well as turbulences on the stock market, are affecting the car market. In summary, the ongoing challenging market environment affected our deliveries to customers and resulted in a sales level slightly below last year's result. Let us now move on to the deliveries of the Volkswagen Group for passenger vehicles in comparison to the car market on the regional basis for the first three quarters of 2015. In North America and particularly in the United States, pickup and SUVs continued to be in high demand. The Volkswagen Group increased its deliveries in North America, mainly driven by Audi and Porsche. In Western Europe, the market grew in the first nine month. The Volkswagen Group benefited from the positive development in this important region, posting rising sales. The car market in Central Europe and Eastern Europe continued to decrease, due to adverse political and economic developments in Russia and Ukraine. With this negative environment, the Volkswagen Group performed better than the market, by far. The car market growth in Asia Pacific slowed down. Especially, in China, the overall market situation become more tense, affected by rising competitive pressure, as well as a strong demand for low-priced SUV and MPV models of local brands. This also impacted the Volkswagen Group, resulting in a sales level below the previous year. In view of continuing weak economies in South Africa -- South America, the car market development remains negative. Significantly declining demand in Brazil also impacted our deliveries. As one of the largest automotive manufacturers with a strong position in the market, the Volkswagen Group was more severely affected by the continuing tense market conditions. Now, I would like to look at the brands in more detail. The Volkswagen Group delivered, worldwide, 7.4 million passenger cars and commercial vehicles in the period from January to September. The Volkswagen passenger car brand has delivered 4.3 million vehicles; a 4.7% decline compared to prior year. This development was mainly due to the weak South American and Russian market and segment shares, as well as more intense competition in China. In the United States, Volkswagen did not fully participate in the positive development of the SUV and pickup segment. However, the brand was able to record a sales increase in Western Europe, Turkey and Mexico. Audi further increased its sales by 3.8% to 1.3 million vehicles. The weaker economic development in markets, such as China and Russia, were mainly offset by a strong demand in Western Europe and the Americas. Skoda delivered 791,000 vehicles; a rise of 2.2%. This positive development was mainly generated by higher sales in Czech Republic, as well as in Germany and Turkey. Year to date, SEAT handed over 308,000 vehicles to customers worldwide; an increase of 5%. The good sales performance was achieved due to particularly high demand in European markets, such as Germany, Spain and Italy. Porsche delivered a total of 173,000 vehicles, representing an increase of around 28%. The brand registered a significant increase driven by the Macan and was particularly successful in Western Europe, China and the U.S.A. Volkswagen commercial vehicles delivered 321,000 vehicles from January to September; a 1.1% sales decline. Sales were encouraging in Western Europe and Turkey, while Russia and Brazil remain weak. For the global truck market above 6 tons, the situation in South America and Russia remains difficult, as do conditions in China. The high double-digit declines in these key markets led to an overall decrease in the global truck market. MAN handed over 74,000 trucks and buses to customers. The economic situation in South America and Russia has led to a decline in deliveries by 13.1%; however, gains were posted in Western Europe and Middle East. Also, Scania's sales result which declined 2.2%, also continued to be negatively influenced by adverse market situations. The increase of deliveries in Western Europe and the Middle East could not offset the losses in the declining markets of Brazil and Russia. Order bookings at MAN and Scania, driven by the declining markets, are below the previous year's level. Underlying revenue and power engineering at MAN came in at €2.8 billion; a rise of 4%. With respect to the diesel issue, let me note that we can see, on the feedback of our customers, media and public opinion, that the trust in our brands and products are affected. But overall, on the consolidated Group level, we do not see a relevant impact, so far. Nevertheless, our brands continue to monitor the situation carefully. Moreover, we expect a positive volume effect, driven by models that we just have launched, like the MPV Volkswagen Touran that has significantly increased in size and is highly configurable; the all new Audi A4 and A4 Avant, characterized by the impressively well-balanced sportiness; Skoda's flagship, Superb estate version, a spacious giant with the largest interior of its class; or the hugely popular urban delivery van, Caddy, from the Volkswagen commercial vehicles. On top of that, our product pipeline for Q4 is filled with more exciting products. The Porsche 911; the China-produced limousine Skoda Superb; and Volkswagen Bora; as well as the North American Passat will enable us to generate a positive momentum for our brands. After this overview, I would now like to hand you back to Frank.
Frank Witter: Thank you, Axel. Let's turn back now and have a more detailed look at our financial performance. I will keep this as short as I can to ensure that we have sufficient time for your questions. Let's start with our Group performance, before moving on to discuss our brands in more detail. For the first nine months of 2015, SEAT's revenue for the Volkswagen Group was strongly up to more than €160 billion, with positive impacts from exchange rates, country and model mix and a good performance of our financial services division, altogether, more than compensating for a slightly lower sales volume. The underlying operating profit for the first nine months came in at up 8.3%, at a record of €10.2 billion. After special items, operating profit for the Group was down almost two-thirds, at €3.3 billion. The €6.7 billion provision for the diesel issue is predominantly made up of three core elements, firstly, the actual cost of software and hardware updates to our customers' vehicles; secondly, we have included an element for potential residual value risks within our leasing portfolio; and thirdly, we have allocated funds to support our dealers during this difficult time. I am sure you have noted that this sum has grown slightly from our initial estimate of €6.5 billion. And, to be clear, we know that this this amount will grow as we get more clarity on the potential risks of penalties and fines, as well as other legal measures. As these numbers crystallize, we will provide further market updates and increase the provisions, as necessary. Let's take a closer look at our financial results. The at-equity result, mainly relating to our Chinese joint ventures, is slightly up year on year, while the underlying proportionate operating result from the joint ventures declined, reflecting lower vehicle sales. The at-equity result benefitted from lower local taxes, as well as an improved financial result in the Chinese joint ventures. The other financial result came in slightly lower than last year. Key drivers includes a positive effect from the disposal of our stake in Suzuki and the negative valuation of derivative instruments, as was explained in detail on the last call. There is an additional €300 million negative impact, due to the increase in the cash settlement made in the first instance of the award proceedings in the Munich Court. This is with regard to the liability for the obligation to acquire shares held by the remaining free float shareholders of MAN. This judgment is not final, since it has been appealed. In summary, the overall financial result came in at €1.8 billion. Group profit before tax was €5.1 billion. Moving on to the Group operating result performance for the first nine months, volume, mix and prices continued to record a slightly positive trend at €0.1 billion. Exchange rate effects were up very slightly in the third quarter, plus €0.1 billion. As was reported in the half yearly call, a strong British pound and U.S. dollar are the main drivers behind the net gain of €0.6 billion. Our momentum on product cost savings continued with the year-to-date performance rising to €1.5 billion. And you can be assured that we're fighting for every euro, now more than ever. Fixed costs and startup costs increased by €1.6 billion year to date as we rolled out new products and powertrains. Looking to the future, there is a clear focus to rein in costs here, even though, at least in the short term, a considerable portion of the increase relates to the depreciation from CapEx already committed. Earnings in our commercial vehicles powertrain engineering division continued to be flat year over year before taking account of €170 million of restructuring measures at MAN which are included; together with the provision for the diesel issue within the €6.9 billion of special items. Year-to-date earnings of the financial services division are up by, roughly, €200 million. Summing up, operating profit increased by 8.3% to €10.2 billion before special items; and fell around two-thirds, to €3.3 billion, after. And now, for a quick look at our brands. At €2.2 billion, up 31%, the Volkswagen brand reported a margin of 2.8% for the first nine months, with the strong European performance compensating for other market challenges, in addition to good momentum on product cost savings. Audi continues to refresh its model portfolio with the launch of the new Audi A4 just a few weeks away. With the 9.2% margin and operating earnings of over €4 billion year to date, Audi continues to perform strongly. Skoda improved earnings, too, posting a result of over €700 million, with a 7.9% margin. SEAT's recovery continued with the cumulative operating profit of €12 million, after the seasonally weak summer period. Bentley's earnings were down at €57 million on lower exports to China and upfront costs for new model launches. Porsche continued to impress with an operating result of €2.5 billion. Volkswagen commercial vehicles earnings were down on lower sales in Brazil and model changeovers of the Caddy and the Transporter family. Scania's earnings grew to €748 million, as they were able to shrug off difficult market conditions in South America and Russia. MAN earnings, at €271 million before restructuring costs, reflecting the high exposure of the collapsed Brazilian market. The special items lines includes costs relating to the announced restructuring of MAN's European activities in order to improve overall cost efficiency, plus, of course, the €6.7 billion provision to cover costs arising from the diesel issue. Volkswagen financial services grew earnings to €1.4 billion, driving the full financial services earnings to €1.6 billion. Strong automotive cash flow continues to characterize our performance. Operating cash flow for the automotive division for the first nine months was up 27% at €19 billion. CapEx, in both absolute terms and expressed as a ratio to automotive revenue, was €7.3 billion and 5.3% of automotive revenue, respectively. Investments in our production footprint and in our product portfolio were the main drivers. At €3.3 billion, capitalized development costs were slightly below the cumulative prior-year period. The sale of our shares in Suzuki realized cash of €3.1 billion. In summary, net cash flow for the first nine months was particularly strong at almost €12 billion. Our automotive liquidity stands at €28 billion at the end of the quarter, thanks, in part, to our net cash flow at the nine-month stage at €8.7 billion, with the funds from the sale of our Suzuki stake coming in on top. The expected disposal of our stake in LeasePlan which is proceeding within the expected timeline, will also further boost our reserves, even though we traditionally have a larger outflow of CapEx in the fourth quarter as running projects during the year close out before the year end. Ladies and gentlemen, it is quite normal, during a time of uncertainty, that capital markets price their participation in the company's capital, be it equity or fixed income, with a certain risk provision as the initial dust settles. We're aware that every euro counts in difficult times. And the entire Board of Management is doing all we can to ensure we maintain a solid, robust balance sheet that will enable us to face successfully the challenges of the months ahead. To conclude today's presentation, let me now turn to our outlook for 2015 which you can find in full within our interim report. With the Group operating return of 6.4% for the first nine months before special items, we have clearly demonstrated that the Volkswagen Group has a strong underlying business model that can succeed, even in a difficult market environment. As we move forward in the remainder of the year, you can be assured that we will keep you updated on material news regarding the diesel issue which, clearly, will be a dominant factor in determining the outcome of our financial performance this year. More than ever, we will be focused on discipline cost and investment management and the continuous optimization of our processes. We're committed to our Volkswagen Group Strategy 2018. Deliveries to customers will continue to be important to us; however, the same amount of attention will be given to the other qualitative and quantitative objectives of our strategy.
Oliver Larkin: Frank, thank you very much. And we have some questions outstanding, but we'll take questions from analysts first; and we'll come back to those questions, if they're not answered, during the call. Now, as the time available for questions is a little shorter today, as ever, I would ask that you restrict yourselves to just two questions to allow everyone a chance in the time available. Operator, if you could now proceed with the second part of the Q&A session.
Operator: [Operator Instructions]. We will now move to our next question from Michael Raab from Kepler.
Michael Raab: Given your very good cash conversion performance for the first nine months, could you give us a bit of a feeling for how we should think about this going forward in the fourth quarter; i.e., do you continue to expect seeing positive free cash flows from underlying operations, i.e., ex-M&A? Or is there, perhaps, any factors that we should think of that are going to freeze up cash instead? Thank you.
Oliver Larkin: Thank you, Michael. We'll just focus there on cash flow until the end of the year, Frank.
Frank Witter: The net cash flow of the first nine months was impacted by very solid operative cash flow and our CapEx management. Additionally, we had cash inflows from the disposal of our stake in Suzuki worth €3.1 billion and higher dividend payments from our Chinese joint ventures, equivalent to €1.6 billion. For Q4, we expect a CapEx level above average, due to the usual seasonal pattern which will impact our cash generation.
Michael Raab: Does that mean it's going to be negative or positive, effectively, in your planning?
Frank Witter: We expect it, in total to be rather negative.
Operator: We will now take the next question from Charles Winston from Redburn Partners.
Charles Winston: If I could use my two, I just want to go back and touch on one of the questions that was parked into the future, but to talk about the order intake, where we're now and, in particular, the pricing on the new orders. In other words, even if the volume is perhaps looking to be fairly solid, potentially a little bit up, are we seeing the pricing on those new orders at significant variance from, say, this time last year or earlier on this year? And the second question is just if you could give us a little bit of a feeling about pricing around the world that you're seeing, the current trends, both in terms of Europe, China, North America; perhaps, give us a quick walk around the reasons on pricing. Thank you.
Axel Kalthoff: Yes, this is quite a huge package of questions. Let me start, first of all, with the order intake. You can imagine, we're closely monitoring this and we don't see, up to now, a relative negative impact on this. Second issue I would like to put on this is that we have a close look on the ratio between our gasoline engines and diesel. And this is very stable and we don't see that the diesel issue is impacting our sales and order intakes for diesels, so far. There might be one or the other country for one or the other brand, especially in Europe, in Western Europe that might be slightly affected for the time being. But overall, on the Group level, we're fine with order intake in the diesel ratio. Coming to the pricing, we see that the pricing, starting with Western Europe, it's quite stable, on a high level. We're quite satisfied that we, so far, didn't have to take additional measures to maintain ourselves; it's quite good. But it's comparative on a quite high level, that's for sure. In Russia, we see that the total market is very competitive, since it's shrinking a lot compared to last year, for example. We're trying to balance our sales in terms of subsidies or additional money we put into the sales and still making profit. Beginning of the year, we started with some significant price increases which led to some volume decrease, so we're still trying to counterbalance this. But the pricing is still stable there, for us. China, as we mentioned already, since we had a situation of quite a decline in the market and some weaknesses, the competition has tightened a little. And we're fully aware of this. But we still are below competition so far, especially premium brands and Volkswagen itself as well. We're quite optimistic that now, with the new program that the government started beginning October 1, with reducing the purchasing tax for this placement of 1.6 liters and below, will accelerate our business over there, so that we can participate even more without having an increase in sales subsidies. Maybe, Brazil now. Brazil is really a difficult market. We have seen some tightening in the competition, due to new capacities we had over there. At the same, we have some shrinking markets. To some extent, we're trying to step away or keep away from the very high level of subsidies to the sales, because we see that, especially for sales, for example, for large fleets, for rental business, is not the one we're participating in because it's not really money-making business. So we're very fine with the performance in the single individual retail business. And we still keep away a little bit from the fleet business, because it's not profitable so far, until we can save some subsidies. And maybe a last comment on the U.S., on Group level, in total, we're still underneath the level of sales subsidies to the market. We see some increase, of course, for Volkswagen. But we're still in line with the market, in some cases even below, so we're quite satisfied with the performance over there. And especially, Audi and Porsche are doing a very good job over there, so they are far beyond market level.
Operator: We will take our next question from Adam Hull from Berenberg.
Adam Hull: Two questions, both really relating to FX. Firstly, you've got €100 million, I think, positive or so, in Q3 in your walk down. Could you give us a little bit of a feel what the gross numbers are? I presume, you mean the dollar/sterling a bit more than that and maybe Russia hurt you. And then secondly, on Porsche, in Q3 you're seeing there a 38% revenue rise; your EBIT is up 60% year on year. But actually, if I look at the margin, it's only 15%. Could you just highlight roughly where you're booking -- what rates of FX you're booking? Are you booking around €1.25 dollar/euro? Because, in a sense, I guess your revenues have risen because of FX, but your EBIT may not be moving much because of hedging. If you could just help us a little bit at what booked rate you're using for that Porsche number there.
Oliver Larkin: So, you're looking at the profit bridge and the €100 million movement that we can see. And on Porsche, I think your question's perhaps more towards the margin of Porsche and is there any FX rates that are supporting that or the effect on the Porsche margin.
Frank Witter: Yes, let me start with the FX. Compared to calendar year 2014, the operating result of Q3 2015 is impacted by a positive exchange rate effect, tailwind round about €600 million versus prior year. Developments in emerging markets, primarily the ruble, had a negative impact. Due to the present uncertainties in emerging markets, it is really difficult to make an estimate for the full calendar year 2015 versus 2014. But we expect the positive trend of the first three quarters to continue, albeit at a lower level. Positive developments of the U.S. dollar and British pound are contrasted by negative developments in emerging markets, especially due to the ruble and the balance, as laid out. Compared with the first three quarters 2014, the sales volume increased by 34,500 units year to date. Sales revenues were affected by positive effects from currencies. The impact from negative mix effect, higher infrastructure costs and investments for new products and future technologies was, clearly, lower. Porsche is confident to increase last year's profit considerably and to reach the strategic target of 50% minimum return on sales at the end of this calendar year.
Operator: We will now take the next question from Daniel Schwarz from MainFirst.
Daniel Schwarz: As Mr. Mueller is on his way to China, I'd like to know the stake increase in FAW. Is that something that's still on the agenda? And, on the other side, are there assets in the Group that you would consider for sale or for partial IPO? And the other question is whether there's anything you could already now say about the dividend policy, going forward; whether the move towards 30% is something you're still targeting or whether that's also not on the agenda for now.
Oliver Larkin: Daniel, you got three questions in there, to talk about the FAW stake and any other further assets to sell or IPO in the planning. And a final comment on the dividend policy, Frank.
Frank Witter: Let's start with the FAW-related question. In principle, the Chinese Government has approved an increase of our stake. The evaluation process will be fully in line with the applicable international standards. Joint commissioned state-accredited and certified external auditors are working on this evaluation. This process is ongoing and negotiations will still take some time. Furthermore, in the light of the diesel issue, Volkswagen is currently reviewing all major projects and investments and/or the related timeline. I think the other question was related to --
Daniel Schwarz: Potential sale of assets.
Frank Witter: To the dividend. The dividend issue, as we mentioned earlier, Matthias stressed that point quite a bit, we're looking under every stone and we're examining every euro of expenditures and investments. The Board of Management and Supervisory Board will, at the given time, propose a dividend to the shareholders, in spring.
Oliver Larkin: And, Frank, there was just that extra question there about whether there were any equity measures or anything else that might be in the planning.
Frank Witter: We emphasize that, currently, there are no plans in this direction.
Operator: We will now take the next question from Fraser Hill from Bank of America Merrill Lynch.
Fraser Hill: Two questions. First question is back on to the €6.7 billion provision. I understood what you were saying about the likelihood of that growing, as you identify fines and penalties. But ignoring the fines and penalties for the time being, are you saying also that, that €6.7 billion could continue to grow on the basis of the recalls and the residual value dynamics? Or are you trying to tell us today that the €6.7 billion is a firmly granular, final quantification of the cost and risk on residual values and recall and repair costs? Second question is looking at the impact on residual values themselves. So far, in October, I know it's early days and I'm really trying to look at the residual value on the vehicles that have returned to you off lease thus far in the past four or five weeks. What have you seen on those vehicles so far in terms of the residual value impact? And maybe within the €6.7 billion, what residual value assumption have you taken across the models affected? Thank you.
Oliver Larkin: Okay, so I think we'll split those two questions, if you don't mind. And on the €6.7 billion, Frank, just to whether the number is likely to rise or some information on the components. And then, Axel, we'll pass to you for a comment about what we're seeing on used cars and cars coming off lease.
Frank Witter: As mentioned, in Q3 we booked, for the diesel issue, €6.7 billion, particularly aimed to cover service measures and other efforts to regain the trust of our customers. Because of the ongoing investigations, this amount is subject to change. But we have no more concrete issues or indications in any direction. So, this is open. But we certainly have the particular issues we talked already about which were going to leave a mark, but we can't, at this point of time, quantify them in a reliable manner.
Axel Kalthoff: Regarding the development of the residual values, there has been, just recently, an analysis from a leading company in Germany called [indiscernible]. They reviewed the market and they came to the result that there's nothing to see so far on the market, because it's simply too early. They have reviewed their results on October 19. For us, we're, of course, monitoring very closely the development of the residual values, but we don't see nothing so far.
Fraser Hill: Just to confirm on the first question, you're saying that the repair and fix cost that you've now assumed within the €6.7 billion that, that is definitely not a final estimate; you're still, well you still haven't finalized the quantification of the recall costs on the vehicles, so that's going to change?
Frank Witter: The technical measures are still in development. But when you take the original €6.5 billion which was announced and we only deviate by roughly €0.2 billion from that original number for the same content, pretty much, you can see that we have quite some stability. But it is our best estimate right now. And those developments are still ongoing so, therefore, I cannot guarantee that they're not going to change, but we feel quite comfortable that what we set offside so far is reasonable for the topics we're covering.
Operator: We will now take our next question from Arndt Ellinghorst from Evercore ISI
Arndt Ellinghorst: Just one, please. It's more a comment, but also a question, really. You talk about new structure, new mindset a lot these days which is a good thing. Nevertheless, when I look at your long-term management incentive plan, it's pretty much all based on growth, a bit of return on sales. But you're not really benchmarking yourself to peers. You're not talking about return on capital employed in your company a lot in your target system for management. And then, when Matthias Mueller talks about the new entrepreneurial spirit within the company, I have to say that a real entrepreneur owns equity in its business and none of your guys on the management board really own stock. And the question here is why VW doesn't have a stock option plan and whether that's not really a necessity to develop this entrepreneurial spirit, to make management accountable within Volkswagen? And I wonder whether you can share your thoughts about a stock option program and whether you have the right long-term incentive program in place? Because I think many of your shareholders really feel that that's at the core of the problems that you're now facing. Thank you.
Frank Witter: I personally, I am convinced that a management incentive plan, particularly if it's long-term incentive plan, is quite balanced. Even though the sales numbers have been always stressed quite a bit in public, the plan is way more balanced and has a lot of qualitative and quantitative criteria which we're evaluating in the development over time. So we feel very strongly that this is the right type of management incentive. You talk, certainly, rightly so, about stock. Particularly in the Anglo-Saxon world, management owning stock is something which is quite common. On the other hand and this is something also very new, we have the insider issues, all of those management positions, basically defining people as insider. And there are other laws which can basically determine very easily conflicts of interest. So, we believe that our incentive program is right in line what was Matthias laying out as the path, more responsibility to brands and regions. And I think Jose asked the question how do we then balancing out brand responsibility, regional balance responsibility with balancing cost. I think the answer is quite clear, by agreed-upon targets which everybody has to adhere to, that is the philosophy, but not micro-managing brands and regions. But I hope that addresses your concern regarding management incentive plans and stock.
Operator: We will now take the next question from Jose Asumendi from JPMorgan.
Jose Asumendi: Just, two items. One follow up from the previous question, if the 6% EBIT margin target for the Volkswagen brand is still in place by 2018? Second, on the profit bridge, can you just give us some -- I know you've given some comments. But can you just help us understand a little bit if this -- within the volume price mix, what is a positive, what is a negative at least market-wise? And second, within the profit bridge also, can we still understand that the balance between cost savings and fixed costs, startup costs can be still be fairly neutral when you combine both categories by year end? Thank you.
Oliver Larkin: First question was back on the Volkswagen brand 6% margin. And then, we will switch to an analysis of the profit bridge, in particular, volume mix price and product costs, fixed costs.
Frank Witter: Before the current situation resulting from the diesel topic occurred, we were on a pretty good path. We're constantly working on efficiency measures across all business areas on the revenue and on the cost side. For example, with the Touran and Golf successor, we were able to significantly reduce the complexity drivers by a reduction of variants. The margins for the new Golf and Passat will improve further with the launch of additional MQB models in the near future, increasing the scale economies. Furthermore, additional products will be added to the portfolio. When we presented the efficiency program in 2014, we communicated that we planned to reach the margin of 6%, until 2017. As you know, we're currently facing a challenging situation. Nobody can really predict which impact of the market we're confronted with, so please understand that we can make no concrete statement at this point of time. But, as I also described earlier, the overall performance so far of Volkswagen brand has been quite encouraging for the first nine months. So, the underlying effects are working. With respect to the -- I think the other question was related to the EBIT bridge. The volume effect was positive, round about €400 million; mix, €800 million; price, round about €200 million. And that were offset, to a great extent, by incentives which we -- basically, we re-invested some of the advantages into the marketplace to maintain our competitive position.
Jose Asumendi: And then, the balances in cost savings and fixed [indiscernible] costs will be balanced also by year end?
Frank Witter: That, I think, has been discussed over an extended period of time, that we continue to hope for a black zero, but that is to be assessed on a quarter-by-quarter basis. But, generally, we strive for that.
Operator: We will now take the next question from Philippe Houchois from UBS
Philippe Houchois: Two questions, please. I'm looking at the profitability of your financial services. The margin used to be, gross margin, about 20%, it's now around 13%, so we've got a shortfall of €400 million to €500 million in that financial services business. Is that the amount of provision you took on residual values for the diesel issues? Or are there other parameters that are impacting profitability of the division? And the other question is actually more of a comment. At this stage, you've talked about governance a couple of times and conflicts of interest, what is your view on your position, Mr. Witter, about being CFO of Porsche SE. I think your successor was both CFO of Volkswagen and Porsche SE which I thought [Technical Difficulty].
Oliver Larkin: Okay, I think there's a technical problem there. Philippe, if you're still there, we didn't cut you off. But allow me, perhaps, just to repeat the two questions so that all the other callers can participate. On financial services, Philippe was asking about the profit development of financial services. It's okay, Philippe, we've got your questions, with the profit development of financial services and whether the provision was inside, relating to residual values. And, secondly, he was perhaps asking a little bit more about governance and position of finance -- CFO at Porsche SE, Frank. So, both of those, I guess, for you.
Frank Witter: Sure. Yes, let's start with the easiest question. I'm around about three weeks on the job as CFO of the Volkswagen Group. I'm quite busy. And there are no intentions to have a position at Porsche SE. I will be fully focused on my core role. With respect to financial services, there is, as in almost all lines of business, ongoing margin pressure, the need to fulfill regulatory requirements. There is, consequently, rising administration cost. And they are the biggest challenge for this year; not only for Volkswagen financial services, but certainly for all financial services companies in the world. In 2015, we expect, for the financial services division, an operating result on the level of previous year. Considering an estimated revenue increase, the operating margin will probably not reach last year's level.
Operator: We will now take the next question from Stephen Reitman from Societe Generale.
Stephen Reitman: One of the concrete numbers that have come out has been the announcement that you're cutting the spending at Volkswagen passenger car division by €1 billion a year. Could you give some concrete examples of where those savings are being found, compared to what you're planning? Secondly, a more technical question. With your discussions with the tax authorities, do you have any more clarity on the tax treatment you expect for the cost of the recalls, fines and -- the recalls and fines? Thank you.
Oliver Larkin: Stephen, we've still got a lot of disturbance on your line, but you're looking for some examples on the €1 billion announced for the Volkswagen brand and the tax treatment on the recalls.
Stephen Reitman: And fines.
Frank Witter: Yes, let's start with the €6.7 billion. We assume that to be fully tax deductible. And with respect to the €1 billion which was announced for brand Volkswagen, there was, obviously, also a reference made to some product-related decision, whether it being at electro mobility, as well as the fit on. Each and every single brand is tasked and challenged to optimize its portfolio of products, engines and gearboxes. We believe that there is a huge potential in terms of increasing the efficiency and also the profitability of the Group. But that certainly will take some time to go through that step by step and to make sure that we cover all ramifications. But we believe that this is the right approach. And we have a joint understanding, Volkswagen brand. For the obvious reasons, we're the fastest one to proceed.
Operator: We will now take the next question from Christoph Rauwald from Bloomberg.
Christoph Rauwald: What is the current status of the budget car project in China? Will this still go ahead? Or is it being reviewed as part of your broader effort to trim spending, given that margins are bound to be pretty thin?
Oliver Larkin: A question there about the budget car in China, please, Frank.
Frank Witter: We continue to believe that the budget car is of strategic importance and that program will continue.
Christoph Rauwald: Could you give, maybe, like an estimate on the timeframe?
Frank Witter: I would say that around about 2018 is a pretty good guess, from today's perspective.
Operator: We will now take the next question from Chris Bryant from Financial Times.
Chris Bryant: Three, very quick, questions, please. First of all, the United States, so far, as far as I'm aware, Volkswagen hasn't sent any senior executive from Wolfsburg to the United States. My question is, why not? Mr. Mueller is going to China today; shouldn't he be going to the U.S.? Second question, just on the tax deductibility of the provisions, should I understand, therefore, that the German taxpayers are going to be primarily subsidizing the cost of recalling these vehicles? And do you think that, that's fair? Third question, please. According to your latest report, your workforce has expanded now to 614,000 people. That's up almost 4% since one-year ago when you launched the cost-cutting plan. When are you going to stop this? And is labor productivity set to decline further?
Oliver Larkin: Three questions there about travelling to the U.S.; tax treatment and how that it is booked; and then, on the number of employees, Frank.
Frank Witter: Yes, let's start with the United States. We have a very senior officer over there, Michael Horn and he is of highest regard within the organization and outside. But, you are right, Mr. Mueller is travelling to China, but this is related to the travel plans of the German Chancellor. But you can be assured, once conditions are being ready and prepared, Mr. Mueller is also planning, together with other senior executives, to travel to the United States. With respect to the workforce, yes, we had an increase of round about 21,000 positions in the Group. But a lot of that is related to growth. We have new factories, like Audi in Mexico. But you can rest assured that labor productivity is also, going forward, to be considered of utmost importance. And we would certainly pay even more attention in the future. But the numbers, as you describe them today, are related also to increase and to growth and to new facilities and China having the majority of the individual pieces. I think the other question related to the tax treatment. We, obviously, adhere to the accounting and tax standards and, therefore, those items are tax deductible. When it comes to fines and penalties, the situation is probably very different. But for those items we provisioned for today, it's very legitimate and right to have them being tax deductible.
Operator: We will now take our next question from Jack Ewing from New York Times.
Jack Ewing: I wonder, first of all, if you could clear up speculation about how many managers or engineers or other employees have been suspend in connection with the diesel crisis? And also, some of them were in pretty crucial positions, from what we know; are you going to start replacing those people? Then, second question, did I understand Mr. Mueller earlier? For a long time, Volkswagen's goal was to become the largest car maker in the world. And it sounded, from what Mr. Mueller was saying earlier, that, that is no longer the goal or no longer the central goal. Am I interpreting that correctly? Thank you.
Oliver Larkin: Just because the line is not the best, you were asking about the numbers of employees suspended and plans for any replacements. And there was a question about the strategy and the volume goal within that.
Frank Witter: One question relates -- to the question, so to speak, who is responsible, we're currently investigating that question. We cannot provide any information, until the internal and external independent investigations have been concluded. We have couple of managers suspended, but the issue is ongoing, as I said. With respect to profitability and size, I think I also made it clear that size is and continues to be, important. But we will continue to do all we can to win customers and sell our great products. But let me very clear, at this point, whether Volkswagen sells 100,000 units more or less than a major competitor is not really the issue. We're striving for qualitative growth and profitability. But also, customer satisfaction, compliance and all those issues will have to be taken as high as the sales numbers. Therefore, the elements, even though the sales have been maybe taken most into consideration, all elements of our Strategy 2018 remain valid and the emphasis will be spread even more clearly to all components.
Operator: We will take our next question from Felix Frieler from dpa-AFX. Please go ahead.
Felix Frieler: Just a quick one. Do you expect to build more provisions, for example, on legal risks, until the end of the year? If not, when do you want to start to build those provisions?
Frank Witter: We will build those provisions once the criteria under IFRS are met. We will have to build provisions, but I can't tell you in which quarter we're going to start with. We will start doing so once the conditions are being met, predominantly, once we reliably quantify the amounts concerned.
Oliver Larkin: Frank, thank you very much, your first call; and everybody else for listening. Thank you, as well. Thank you. And goodbye, from Wolfsburg.
Operator: Thank you. That will conclude this conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.